Operator: Welcome to the Giga-tronics First Quarter Earnings Conference Call. My name is Ellen and I’ll be your operator for today’s call. At this time all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Steve Lance, Chief Financial Officer. Mr. Lance, you may begin.
Steve Lance: Thank you, Ellen . First, I’d like to read our Safe Harbor Statement. This conference call contains forward-looking statements concerning operating performance, future orders, long-term growth and shipments. Actual results may differ significantly due to risks and uncertainties such as delays with manufacturing and orders for new products, receipt or timing of future orders, cancellations or deferrals of existing orders, the company’s need for additional financing, ability to be traded on NASDAQ, the volatility in the market price of our common stock and general market conditions. For further discussions, see Giga-tronics’ most recent annual report on Form 10-K for the year ended March 28, 2015, Part I under the heading Risk Factors, and Part II, under the heading Management’s Discussion and Analysis of Financial Condition and Results of Operations. I will now turn the call over to John Regazzi, our Chief Executive Officer. John?
John Regazzi: Thank you, Steve. Good afternoon and thank you all for joining our quarterly earnings conference call. As usual I will make some brief remarks and then open the call to questions. Net sales for the first quarter of fiscal 2016 were $4.4 million as compared to $4.5 million in the same quarter a year ago. The decrease was primarily due to lower revenue associated with our radar filter project as it nears completion. The associated $10 million multiyear production order announced earlier is scheduled to begin shipments in the summer of 2016. We also received $522,000 of new orders for the company's advanced signal generator within the first quarter of 2016 and a $1.5 million order from the U.S. Navy for accessories used with our 8003 Precision Scalar Analyzer. Net loss for the first quarter of 2016 was $629,000 or $0.10 per fully diluted share as compared to a net loss of $443,000 or $0.09 per fully diluted share for the same quarter a year ago. A significant portion of the higher first quarter fiscal 2016 loss was the result of an additional $250,000 of non-cash stock based compensation recorded within selling, general and administrative expenses. Non-GAAP net loss for the first quarter of 2016 was $189,000 or $0.03 per fully diluted share as compared to a non-GAAP net loss of $142,000 or $0.03 per fully diluted share for the same quarter a year ago. Non-GAAP results exclude non-cash expenses incurred within each quarter. I am disappointed that we could not report a non-GAAP net income like the prior three quarters but until the company begins shipping the advanced signal generator routinely our results may fluctuate. Looking ahead, I am pleased to see our manufacturing organization is starting to build the advanced signal generator and that we are beginning to see sales momentum for the platform. Orders for the advanced signal generator received in the first quarter will begin shipping in the second quarter and we also plan to begin shipping the first radar filters in the second quarter to fulfill the $3 million F-15 order that we announced earlier. Sales of both these products are expected to improve our gross margins in the quarters ahead. With that I would like to open the call for questions. Ellen?
Operator:
John Regazzi: Thank you, Ellen. Okay, I appreciate everybody's participation in the call and thank you for your interest in Giga-tronics. Good afternoon.